Nadav Zafrir: Thank you, Kip, and good to see you all. So we delivered a strong third quarter marked by double-digit growth in calculated billings, driven by disciplined execution and the rising demand across all of our portfolio. And nearly a month into Q4, we remain confident in our trajectory, and we're raising our midpoint for 2025 revenue guidance, and Roei will share more on this shortly. As we discussed during our second quarter earnings call, our strategy continues to be anchored in 4 core principles that we believe define the foundation of a modern cybersecurity stack, shaped predominantly by the accelerating adoption of AI. As we continue to shape the future of cybersecurity, our strategy is guided by these 4 principles. First, securing the connectivity fabric as it evolves from a traditional infrastructure into a genetic autonomous reality. Second, our prevention first approach, which I believe is now more important than ever as attackers leverage sophisticated agentic capabilities, it's literally imperative that we dramatically improve the signal-to-noise ratio and limit our reliance on detection to a minimum. Our open platform philosophy. The open platform philosophy is not the easiest path, but it's the only viable one for achieving security resilience. Building an open collaborative ecosystem among vendors, demands communication and cooperation, sometimes even with previous competitors, yet I can tell you from the trenches of cybersecurity, it's clear to us that it's essential. And our recent acquisition of Veriti is a powerful example of how we're advancing this vision by integrating Veriti into our exposure management organizations, we've expanded integrations across endpoint firewall, cloud providers reaching over 100 deployments and delivering automated remediation based on what's the best security possible. And finally, as I emphasized before, securing AI is top priority. We are in the very first innings of the most impactful technological revolution of our lifetime. Moving from current phase of human enhancement to replacement and delegation to the next phase of crossover, where sophisticated agents are taking over and crossing the crossing lanes, it's both exhilarating, but also extremely challenging. And I think it's a race for relevance for everyone. And we must remember, and we see that at the same time, we're seeing how rapid the attackers are leveraging AI to outpace us as defenders. And this drives our mission to build a full stack AI-powered security platform. Last week, we closed the acquisition of Lakera, a Zurich-based AI native security leader with deep expertise in protecting large language models and autonomous agents. Lakera enables real-time defense against prompt injections, data leakage and model manipulation. And it gives us a secure -- a unique security-oriented model that ensures evolving defense to stay ahead of emerging AI threats. And I believe that together, we're building a comprehensive AI security platform that will enable our customers, the enterprises that we work with, to scale AI adoption securely and confidently. And what does that mean? It means securing employee usage of AI tools through observability and data loss prevention. It means protecting AI applications and agents with run time defenses. And then finally, strengthening model robustness by our continuous testing and compliance readiness. You should know that Lakera is already trusted by Fortune 500 enterprises, including some of the biggest banks and largest technology companies worldwide, and we're just getting started. As AI adoption accelerates, it exposes new threats, and we're committed to leading the journey to enable organizations to adopt AI securely. We're investing organically in research and development and we're identifying strategic acquisition opportunities that will reinforce our leadership position. Beyond that, I want to touch briefly on our latest go-to-market updates. During the quarter, we achieved Fed rep authorization for the Infinity platform for government. This positions us as a trusted partner for the most demanding federal environments. Our go-to-market organization is now fully staffed. [ Rachel Roberts ] joined us as President of Americas Sales. She brings deep enterprise sales expertise from her leadership roles at [ Cisco ] and [ Palo ] to further build and scale our sales organization. Avi Rembaum was appointed President of Technical Sales. Avi's been with us for a long time. And from here on, he will lead the efforts to drive technical excellence and strengthen consumer customer engagement. And finally, Brett Theiss joins us as Chief Marketing Officer to strengthen our brand presence, to fuel demand and position Check Point for its next chapter of market leadership. To close, before I hand over to Roei, so with over 10 months in my role as CEO at Check Point, I think that our strategic vision is taking shape. And I'm energized by the progress we've made already and where we're going in the future. And with that, I'll turn it over to Roei.
Roei Golan: Right. Can you see my screen?
Unknown Executive: Yes.
Roei Golan: Great. So thank you, Nadav, and thank you, everyone, for joining the call. As Nadav mentioned, we had a strong quarter, driven by strong demand across our portfolio. If we are looking on our revenues, our revenue grew by 7% to $678 million exceeded by $6 million our midpoint. Our non-GAAP EPS reached $3.94 per diluted share and exceeded our guidance. It is important to note that this number includes a onetime tax benefit in connection with tax settlement we signed during the quarter that resulted in an update for our tax provision, and that had a benefit of $1.47, both our GAAP and non-GAAP EPS. Excluding the onetime benefit, our EPS exceeded the midpoint of our projection by approximately $0.02. Moving to our results. As I indicated, our revenues grew by 7%. Our deferred revenues grew by 8% to $1.887 billion. Our calculated billing totaled $672 million, reflecting a robust 20% growth year-over-year. That was driven by strong demand across our portfolio and across our geographies that all of them grew by double digit. I don't need to -- I do want to remind you that our billing effect also affected by approximately 3 points that -- from these that were slipped from previous quarter. We talked about it in our last earnings call. In addition, we had one large deal -- early renewal of that resulted in a 2% benefit earlier from Q4 that came in, in Q3 and is also the benefit of 2 points to our billings. If we're looking on our current calculated billings, so that grew by 14% to $642 million. Our remaining performance obligation grew by 9% to $2.4 billion. I'll move forward. As I said that we did see a strong demand across our portfolio. If we're looking on our services calculated billings, service calculated billings actually the calculated billing excluding our product business, and that grew 21% compared to 7% last year. And again, that's not only from certain products, that's across our portfolio, if it's the Quantum firewall, Harmony e-mail, Harmony SASE drove these great results. If we are looking on our emerging technology, so that's the ARR, we do see that it's the [ 3 ] main products that [ 3 ] companies that we acquired in the last few years, Harmony SASE, Harmony e-mail and collaboration and external risk management. All of these products grew organically 40% -- more than 40% in ARR year-over-year, and we do see them becoming more and more significant to our total business. Moving back to our global revenue distribution. So we did see double-digit growth in America, a 10% growth. That represents to the 42% of our revenues in Q3. EMEA, which represents 45% of our revenues this quarter, grew by 3%; while APAC, Asia Pacific, grew by 8% and representing today 13% of our total revenues. Moving into our P&L into operating performance. So our gross profit decreased from $563 million to $602 million, representing a gross margin of 89%, similar to last year. Our operating expenses increased by 11%. The increase was mainly as a result of our continued investment organically and also the impact of Cyberint and Veriti acquisition that were not part of Q3 last year P&L. Our non-GAAP operating income continues to be strong at $282 million, 42% operating margin. Also something that I discussed also in our last earnings call, and I want to touch base on it again in this call. The U.S. dollar got, in the last few months, I would say, since the beginning of Q3, the U.S. dollar got weakened significantly [ versus ] the Israeli shekels, given the fact that we have significant expenses in shekels that have had -- and although we are hedging a significant part of that expenses, still, we do see a negative effect for this weaker dollar on our P&L. In this quarter alone that affected our P&L by approximately 1 point to our margin, approximately, I would say, $0.06. Looking ahead, if we're already talking about next quarter. So we continue to hedge, of course, our foreign exchange currencies and our foreign currencies. And we do expect to see approximately 1 point headwind to our margin in Q4. In addition, as Nadav earlier mentioned, we closed last week, the acquisition of Lakera, leading AI native security for platform -- for agent application. This acquisition that was closed last week will result in approximately 0.5 point headwind for margin in Q4. As we look further into 2026 and as I indicated in the previous earnings call, based on the current FX rates, that can have an increase for [ NL ] expenses next in 2026 of approximately $50 million to $60 million. That's something that we discussed last quarter. And again, because the current rates are similar to what we discussed last quarter, I wanted to bring it back again here. Moving into our cash flow. Our cash flow was very strong. Operating cash flow was very strong with $241 million of operating cash flow. That included a $66 million onetime tax payment in connection with tax settlement signed during the quarter, that also I touched base about it when we talked about the EPS. Excluding this onetime tax payment, our operating cash flow grew by 23%, very strong cash flow. If we're looking on our total cash, our total cash in the end of the quarter is $2.8 billion for cash and marketable securities and deposits. Another point that we had during the -- another [ 2.3 ] I want to mention here that we had during the quarter, we talked about it also last quarter that we are building a new Check Point campus in Israel in Tel Aviv. And during the quarter, we paid approximately $160 million for the land. And that's -- we're going to see it in the invest -- in the cash flow from investments. I do have to say here that we don't expect any significant additional investments until 2027. In addition, we continue to do our buyback, and we purchased our share. We purchased approximately $325 million of shares at an average price of [ $198 ]. So to summarize, strong quarter, avenues and EPS exceeded our projection, accelerated growth across our portfolio, driven by 20% growth in calculated billings, driven 20% growth in calculated billing and another strong operating cash flow and profitability -- profitable quarter. Moving to the business outlook for Q4 before we move to the Q&A. So if we're looking on Q4, so we'll start with the Q4 and then touch base on the full year. So Q4, our range is between $724 million to $764 million, which represents 6% in the midpoint. The non-GAAP EPS is between $2.70 to $2.80. GAAP EPS is expected to be $0.60 less. If we're looking on the annual guidance. So first, I'll remind you that the -- in the middle column, you see the original guidance we provided in the middle of the year. Our midpoint -- or the updated midpoint of the revenue guidance will be $50 million -- is going to be $15 million above the original midpoint. So it's -- the range is between [ 2.705 and 2.745 ]. Midpoint of 2.725, 6% growth year-over-year. Our non-GAAP EPS is expected to be between $11.22 to $11.32, and the GAAP EPS is expected to be approximately $2.29. Again, the EPS also includes the tax benefit that I discussed. And 2 things -- 2 items that I want to address here about revenues and EPS. Q4 as we -- it's like -- which is more typical for Q4, it's a very heavy back-end loaded quarter that also includes heavy hardware and heavy hardware projects. We see also in our final today, significant refresh project that's supposed to come in, in Q4. And because it's more heavy, so again, there is more -- we are providing the rent. There is the -- the range is mainly for the [indiscernible] portion that again, we do expect to see more refresh projects, but because the hardware is more significant in Q4, that's something that we need to take into account in the guidance. And it's for the EPS, I mentioned it when I discussed the P&L. The EPS in Q4 will be affected by 2 main items. One is the FX that we have approximately $0.07 to $0.08 effect based on the current rates in Q4, the weaker dollar that will affect our P&L and Lakera that will have approximately between $0.04 to $0.05 effect on Q4 EPS. That's it, and I'll turn in to Kip to manage the Q&A.
Kip Meintzer: All right. Just give us a brief moment while we get the speaker situated. Our first up is going to be Brian Essex from JPMorgan, followed by [ Amelia Colpa ] from Patrick Colville and position #2.
Brian Essex: Maybe I'll start with Roei. On that last point that you just talked about in terms of guidance, noting that Q4 tends to be a heavier hardware quarter. Could you talk about your underlying assumptions for subscription and recurring revenue in your guide and how much visibility you have? Would love to just get the thoughts around the sensitivity versus hardware in Q4.
Roei Golan: So we expect to be -- Here, I can give more insight on that. So we are expecting to have, of course, a double-digit growth in subscription with slight improvement into Q3. I remind you that in Q4 -- last Q4, we have already in the comparable Cyberint that the first quarter this year, the Cyberint is included. But still, we do expect to see acceleration of our subscription revenues from what we did have this quarter and support similar rates -- gross rates for what you've seen in the third quarter. As for the appliances, we do expect to see growth year-over-year more around the midpoint and mid-single digit.
Kip Meintzer: All right. Next up is Patrick Colville. Hey, Patrick.
Patrick Edwin Colville: I'll bow down, kiss the ring. King Kip, King Nadav, and King Roei, congratulations. 20% billings growth is -- I've covered Check Point a long time and it's usually impressive. So good to see that. The question we're getting already is what is the sustainability of that growth? I mean, so you talked about there were a few one-offs pushed from 2Q pull for 4Q. But as we think about 2026, is this a new chapter for Check Point and under Nadav's leadership. And are there any puts and takes as we think -- just on models looking out a year out?
Roei Golan: Nadav, you start.
Nadav Zafrir: Sure, I can start. First of all, thank you, Patrick. It's -- for your kind words. I think it is a new trajectory. Yes, Q3 was a very strong quarter. And I think it -- and some of it, as you said, has some pullovers and pull-ins. But generally speaking, it's a strong quarter. And I believe that when we give our guidance for 2026, you'll see that we believe a trajectory of growth is in the cards for us. Having said that, you know us already, we're going to do this prudently and we're going to make sure that we make the investments at the right places at the right time. So I think it's a journey. But I do think that we're seeing the beginning of the fruits of this journey.
Kip Meintzer: All right. Next up is Joseph Gallo followed by Tal Liani.
Joseph Gallo: Nice job on the results. On the go-to-market leadership changes announced, is there a change in strategy? And should we factor that into 4Q billings? Maybe just give us some commentary on how we should think about 4Q billings? And then where are you on a quota carrying rep basis? And how should we think about that growth going forward?
Nadav Zafrir: Yes. Thank you for that, Joseph. So the strategy is -- the new strategy with the new leadership is actually going to take effect in Q1 of 2026. Q4, Avi Rembaum is still going to lead the Americas, and we're keeping ahead a full steam for all cylinders ahead. We are going to make changes as we go into 2026. And we'll announce some of them when we meet again and speak about guidance for 2026. I will say that we are going to be ultra focused on making sure that we go back -- not go back, but continue winning, upsell in large enterprise with our current existing customer base, but also with our new products road map, with our new capabilities, go and acquire new enterprise customers across the world with a focus in the Americas.
Kip Meintzer: All right. Next up is Tal Liani followed by Adam Tindle.
Tal Liani: How long does it take for billing growth to translate to revenue growth? And then where would it be recorded? Meaning when I look at your revenues, product revenues, subscription and services, it's all very predictable, meaning the only swing factor is maybe products, but very predictable. So as this increase in billings translates into revenue growth, where would you see it?
Roei Golan: So -- so I'll touch base on that. I'll take it. The billing, of course, it's allocated between, as you said, services, I would combine support and subscription services and product. I think on the services side, that grew this quarter, the billing grew by 21%. That's going to be -- you're going to see it in the revenues in the next 4 quarters, most of it because most of these billings came in the last month of the quarter. And every quarter, it's back end loaded quarters. So you're going to see the effect in the next 4 quarters. I do have to say that we want to show sustainable growth of billing -- of services billing that we -- that if we're going to make sustainable billing grow -- I mean, similar growth as we've seen in this quarter. So that in the end, you'll see it pretty -- I mean, you'll see it also in our revenues. On the product side, if you're -- most of the billing is coming together with the revenues. So -- because it's recognized immediately and we are billing the customer when we are delivering the product. So it's easier. So you see it usually immediately on the services, as I said, it takes more time.
Kip Meintzer: Next up is Adam Tindle, followed by Rob Owens.
Adam Tindle: All right. Nadav, congrats, obviously, 20% calculated billings growth. I was scrolling through my model. I don't think I've seen a number like that in the past decade, at least. You talked about at the Analyst Day earlier this year, SASE being a very critical growth area for the company. I wonder as you kind of reflect on the growth that you're seeing right now, if you could talk about the contribution from SASE, the upcoming road map that you have for that product area. And on the back of this, do you think we're at a point in time where it makes sense to step on the gas for investment for Check Point from here and maybe any parameters on what that would do to margin, if Roei wants to weigh in.
Nadav Zafrir: Yes. Thank you, Adam. So I'll start with SASE. We are seeing a meaningful ARR growth in SASE, as Roei said, over 40% in Q3 of ARR growth. SASE for us is not a stand-alone. It's a part of our the connectivity fabric and hybrid mesh, and that's one of the reasons this is such a critical factor for us. I also think that as our clients, as our customers start adopting AI, our SASE hybrid approach, the fact that we are not only cloud but also on device gives us another parameter or another, I would say, advantage. I will say that we've made substantial investments, as I've said before, in SASE, in terms of hiring new talent, and we're talking -- this is not in the dozens, this is in the hundreds because this is a must-win product for us. And we are seeing success as we go into 2026. The good news is that we can upscale and go in and start deploying in larger and larger enterprise as we go into 2026. So that's on the SASE side. Optimism, but to be completely transparent, it's never good enough. We need to move faster. We need to add features. We need to grow the larger enterprise. We need to integrate this into a hybrid mesh connectivity fabric and keep on moving. So that's on SASE. Investment, generally speaking, the answer is yes, but we need to do it prudently. So we're investing in SASE. But we're also investing in our newly formed Workspace. We've had great success with e-mail. Now we're bringing the other products so that we can secure our customers' employee base wherever they are and whatever they are. So that's endpoint mobile browser. The biggest investment that you are going to see from us is investing in the future, and that's building the full stack AI security platform. Lakera is just one example. But we're literally going after the best talent. We are -- some of these are building products, some of these individuals are just looking to understand what the attackers are going to do as they increase Phase 2, Phase 3 and Phase 4, so that's going to be an investment in our future, and we really need to make investments across the board. And we've spoken about this, and I'll let Roei chime in as well. We are doing this calculation of profitability versus growth and always looking at the 2 and trying to make the right calls prudently so that we can get to a sustainable growth without sacrificing too much of our margins.
Roei Golan: And I think we're going to talk more about it, Adam, about 2026 when we announce Q4 numbers probably around in February, and we can have more color about 2026 gross margins.
Kip Meintzer: All right. Next up is Rob Owens, followed by Keith Bachman.
Robbie Owens: Always a pleasure to be behind Adam. So Nadav, maybe you could just expand on some of your comments around the AI security component. I realized -- you laid out kind of the 3 different components of where your strategy is, but how much do you need to fill in from an M&A perspective? And I realize that it's changing rapidly. But at this point, where is Check Point just in terms of having the coverage that you want? And how much more M&A do you think will be in the next 12 to 18 months?
Nadav Zafrir: Yes. Thanks, Rob. My favorite topic. I look at this from 2 different perspectives that are outside of Check Point and where Check Point's role is. So outside of Check Point, it's the 4 phases of adoption. I still need to sort of -- I still haven't seen a meeting with the C level, whether it's the Board C-suite, CIO, Chief Data Officer, where this is not front and center of their strategy. We're all there. We're there as people. We're there as organizations. We understand that we either start advancing in the journey or we become obsolete. And it's moving from enhancement where -- which is already where we are right now, right? So we're all -- we're better performers because of AI. Most of the organizations already have replacement. So they already have agents that are replacing humans in different lanes, but they're in their own lanes. And the first organizations, the more sophisticated ones are starting to play around with crossover agents that are now making crossover decisions and getting access to different databases. That opens a whole new plethora of challenges, changing the idea of what it means to protect the network. Not only because there's more to attack, but also because on the other side, we need to understand that attackers are usually one phase ahead. So if we are in the first and second phase, they're already experimenting with the third phase. So that's how we look at the outside world. And when we look at our customers, we want to be their partner to be able to quickly adopt AI when we are doing the security part for them. So on the level of the users, I believe we already have the best security. On the level of runtime security for the second phase and approaching the third phase, I think that Lakera is unique. And with Lakera, I think we have the full stack of what's needed for today. However, we need to think about Phase 3 and 4, and that's where some of it will be organically. But to your question, Rob, some of it will be inorganically. And so we're looking at acquisition targets as we speak. I literally just had a meeting before this call with our M&A team, they're looking at multiple companies as we speak. Nothing is imminent right now, but there will be more.
Kip Meintzer: All right. Next up is Keith Bachman followed by the purple man, John DiFucci.
Keith Bachman: I appreciate going before DiFucci. I wanted to, Nadav, for you, is there anything different or changing on Harmony e-mail in terms of the competitive dynamics, specifically? And I just wanted to understand a little bit how that pipe is building. And the spirit of the question is driven by how should we be thinking about Harmony e-mail potential growth in CY '26 versus CY '25? Is there a deceleration, you think, even driven by just the base or scale, if you will. And then Roei, just if I could sneak one into, you mentioned that FX would be $50 million to $60 million, I think, next year, headwind. Not trying to jump ahead of your guidance, but just what you've done so far in M&A, if you could just give us some context about what that would be to CY '26 margins just the level set for those 2? And I know you've talked about some other investments you might want to do as well. But just wanted to -- on the knowns that you have today between FX and M&A that will impact margins.
Nadav Zafrir: So I'll start with e-mail. So no, we don't see a deceleration. In fact, we're hoping for an acceleration, and we'll speak about it in our guidance. And the reason is very simple. I truly believe that we have the best product in the market. And although e-mail has been around as long as the Internet has been around or as long as cyber has been around, because attackers are already at Phase 2, e-mail attacks are becoming much more sophisticated, and we're all seeing that. I mean we all have this conversation. Did you get my e-mail? No, I didn't get your e-mail. Why didn't you get my e-mail? Well, because somebody block your e-mail. Why did they block your e-mail? Because they are becoming more and more sophisticated. And so what we've built around our e-mail is an AI capability, which I think is superior to what's out there. So this is a replacement business, right? We're going out there and we're replacing incumbents all the time. And I think that in terms of TAM, we're still relatively small, so I don't see a deceleration. Beyond that, as you know, we've asked Gil Friedrich based on that success to take all the other products that create the suite for employees. So now we're bringing in not just the e-mail, but e-mail, endpoint, browser and mobile. At the end of the day, we want to look at the use case. And the use case here is employees that are working from everywhere and are now being empowered by AI agents. And the fact that we can have an agent sitting at the endpoint, either at the browser level or at the SASE level, means that we can do more on the device itself, which is cheaper, more scalable and brings better security. So I'm really optimistic about bringing all that together into our workspace.
Roei Golan: And I'll continue regarding your second question about the FX. So yes, as I said, about $50 million to $60 million. And about the M&A, I also talked about the effect for Q4, Lakera. So we talked about $0.04 to $0.05 headwind for Q4. We do expect to have more -- from one end, more investment. But from the other end, we also do expect to see more revenues from Lakera. So in the end, it's tough to say right now, again, we are working on the plan for next deal. So it's tough to say it's going to be the impact on our margin next year, the Lakera acquisition. And in general, margin for next year, I think that it's -- we're going to -- we are still planning working on 2026. And as I said, we'll talk more about it in February when we're going to announce Q4 numbers.
Kip Meintzer: All right. Next up is John DiFucci followed by Shrenik Kothari.
John DiFucci: My question is sort of a high-level question for Nadav. Nadav, I've known you a long time. And I know that you mean what you say when you talk about an open garden approach, and it makes total sense for the customer. It really does. And I -- but I almost -- and I was looking for the right word to describe it because it almost seems -- and I know this isn't you. It almost seems naive to think you can do it. Because your competitors, I think you said fierce in your prepared remarks, your fierce competitors. And even though it's the right thing for the customer, no one's ever been able to do it. So I guess, can you give us a little bit more, like are there any anecdotes you can share with us? Anything you talked to us about how it's actually going in the right direction. And then finally, just Roei, just a quick follow-up. It's great to have pricing power. But you -- just how should we think of the price increases in subscription lately and how they may be contributing? How should we think about that? It's great to have that, just try to understand it. Sorry.
Nadav Zafrir: So thank you, John. I'll be as open platform -- open, sort of open mind. I'll tell you this. First of all, it's a philosophy, I agree with you. And I've been in the trenches for more than 30 years in cybersecurity. I think that where we're going, trying to come to this with a vendor lock, closed garden, a monolithic approach will really not be enough to secure our customers for many reasons. Now I agree, it's not an easy path, but we're seeing a glimpse of first success. So I brought up Veriti as an example. Veriti already has the ability to integrate with over 70 other vendors. From our CTAM, we see where the danger or the threat is coming from, and we can take these IC and actually fix them not only a Check Point, but even at other vendors. And that's -- and we already have 100 implementations of that within customers, all right? So I'm not saying this is sort of all the story, but it's a glimpse of the story. Another one is our unified management. Our unified management today, with some of the cloud native firewalls, we can manage -- in our unified management on those other firewalls so that from the customer's perspective, whatever they're using, they can have the access to truly our best-in-class threat cloud AI with over 100 engines that is blocking billions of attacks all the time. So it's forming. I agree that from a business perspective, some might say, yes, that's naive, it's never going to happen. I think it needs to happen. I think it's -- there isn't another way to resecure our customers. And we are seeing early success with this open platform approach. There's a lot of investment that we need to do in order to put more meat on the bone and create a real alternative to this idea of -- and we see it and we see how it resonates with our customers, right? They want to listen to this. Some of them because it's just the nature of the beast. They have 1 vendor, but then they make an acquisition. Now they have 3. How are they going to consolidate this? And the attackers are going to come through the cracks. So it's a philosophy, but it's also a road map. And some of it is already happening, not only in our labs, but at customer sites. As I said, over 100 deployments of Veriti only and more to come around that. I'll give you one more sort of way to try to defend this. When you think about detection, for example, right, we look at the [ Mitre ] attack sort of chain, right, and kill chain. And we say, okay, at every point, we need to have multiple guarding capabilities in order to be successful at blocking attackers. Within that framework, we're saying a lot goes into the detection and response. I can tell you that I'm constantly trying to imagine what I would do if I were on the bad side guys, and I'd tell you that with agentic AI, a lot of what's happening on-prem for -- that gives us the ability to detect is going to become obsolete. So now if we're in a client or a customer's environment with a competitor and we don't share what we see immediately, it's going to be game over for the customers. So now afterwards in the aftermath, I'm going to say, yes, but it wasn't my firewall, I was their firewall. The customer doesn't care.
Roei Golan: And to your question about the price increase. So yes, we did the price increase for the subscription firewall effective July 1. It didn't have any effect on our revenues for Q3 because most of the business is coming in the last months would have a very immaterial effect. I do -- on the billing side, we do see some benefit from that, yet not significant from the price increase. Again, it's when we're managing the same discount, so we can benefit from this price increase. I don't want to have you that we have another price increase of 5% across all our Quantum firewall, which will be effective 1/1/2026.
Kip Meintzer: All right. Next up is Shrenik followed by Joshua Tilton.
Shrenik Kothari: Yes, team, echoing my congrats...
Kip Meintzer: Nice of you to join us from Alaska or whatever other place you're from.
Shrenik Kothari: A little sensitive. Great, great execution. Just continuing on with the big picture theme [indiscernible]. So Nadav, you have been firming your belief that not everything goes to the cloud and lean hard into the hybrid mesh value proposition, especially as the cloud infra cost rising. We have been hearing that a lot of AI native use cases also staying on-prem. So can you elaborate from your use case perspective, like where are you winning the most in these hybrid conversation, hybrid mesh? And then I had a quick follow-up on the go to market.
Nadav Zafrir: I think our advantage is in large-scale complex hybrid environments, where you have on-prem with cloud, multi-cloud, you need to manage all that. And I think that's where our advantage is. Looking into the future, there are use cases that we're seeing with the use of AI, data sovereign issues and governance that are going to take some of the use cases back to either private or quasi-private establishments that are going to offer that. Again, I think this is an opportunity for us on 2 fronts. First, it's our sweet spot. Second, when you think about data centers that are providing either data center as a service or a private data center for AI usage, this is where performance and speed matters more than anything else. And again, that is our sweet spot. So I'm not saying this is the only use case, but I think it's a growing use case.
Shrenik Kothari: Got it. To make some big go-to-market hires and some ongoing transitions, just if you can walk us through how this factors into your operating model, both near term and on fiscal '26, we appreciate that.
Nadav Zafrir: Operating model in terms of our investment in marketing?
Shrenik Kothari: Yes, investment, just execution, assumptions, yes.
Nadav Zafrir: Yes. We are starting to be more aggressive in our marketing dollars across the board, and we'll see an increase in that in 2026, hopefully, to be offset with operational excellence so that we don't hurt our margins, but are more effective in our go-to-market.
Kip Meintzer: All right. Next up is Joshua Tilton followed by Brad Zelnick.
Joshua Tilton: Great, guys. Can you hear me?
Nadav Zafrir: Yes.
Joshua Tilton: Awesome. Congrats on a good quarter. Maybe though, just stepping back, just a broader spending question from my end. I think the first half for security was a little challenging. We had Liberation Day. There was a lot of uncertainty. So I'm just trying to understand like how would you characterize the spending environment in 3Q? How does it compare to what you saw in the first half? And maybe help us parse out how much of the success today is just pent-up demand from the first half versus better execution on your end? And just kind of what are you seeing heading into Q4? Will there be a budget flush? What are your expectations? Just level set that for us, if you could, please.
Nadav Zafrir: Mr. Golan, do you want to start here?
Roei Golan: Yes. So I'll touch -- I'll start, and then you can continue. As I think, again, I think it's -- first half was more challenging, mainly Q2, I think. You mentioned the Liberation Day. So definitely, it was more uncertainty in the market. I do have to say that -- you ask if the -- I mean, besides the 3 points that we mentioned, that the deals that actually will slip from the first half to Q3. So as I look at, and we're analyzing from across, I mean, many metrics, internal metrics, it's definitely much better execution. Q3 was much better execution. And when we're looking at Q4, so Q4, again, we do see very nice deals in the pipeline. Q4 is like -- almost every quarter, but Q4 is more tricky. It includes a lot of large refresh, large outdoor deals. And again, it also depends on budget flush. You ask about budget flush. For example, last year, we did see, I would say, less than average budget flush. So tough -- it's early to say, I mean, what's going to be this year. Again, when you're talking with the field, with the sales leaders, too early to see -- to understand if we're going to see more budgets like this year. Our guidance, our midpoint of the guidance didn't take into account any significant budget flush. So that's how I see it. Nadav, I don't know if you want to add something.
Nadav Zafrir: No, no, I agree. I think America, I think, is good and steady. We are hoping see an increased demand in Europe going forward. But as Roei said, what we're guiding right now does not take an optimistic view on how demand is going to be growing beyond that.
Kip Meintzer: Next up is Brad Zelnick followed by Jonathan Ho.
Brad Zelnick: Congrats. It's great to see the success in Q3 and -- and I love saying when Patrick Colville can admit he's a real gentleman, that he's able to admit when maybe he's got it wrong, happens to the best of us. Nadav, I wanted to ask, as you reflect on changes you made to sales incentives this year, specifically paying on ARR growth, how much of an impact might that have had? And how much might that be contributing to the strong billings we're seeing this morning? And along those lines, maybe Roei, can you talk about the trends in ARR growth as we look through all the billings noise because externally, obviously, there's always puts and takes, but ARR is obviously a very pure metric.
Roei Golan: Yes. I'll start also -- I want to -- regarding your first question. So I think we -- this year, we paid -- our [ comp plan ] was -- the significant factor there, a significant factor of our comp plan. Definitely, it's something that we did see improvement when we are looking on the discounts. On the discounts that we are giving that again, for renewals, for example, so we did see improvement on that effect after we implemented ARR factor into the comp plan. So that's something that definitely -- I mean, we see the change. We see the mine and how the salespeople are. When in the past, it was mainly around bookings. And now, they need to think more about booking only but also about ARR. And definitely, we see the positive effects of that mainly around the renewal, the discounts around renewals. So that's one aspect that I want to touch. The other stuff, anything else trying to -- what was the next one that you had, Brad? Or Nadav, if you want to add on that.
Nadav Zafrir: Well, the only thing I would add is that I think we're seeing the beginning. I agree with Roei that I would attribute a better performance in Q3 mostly to execution. I do believe that as we progress the change in how we measure things and our comp plan, et cetera, will take effect, but it's work in progress.
Brad Zelnick: That's helpful. I guess related, is there a future where maybe you would disclose ARR as a key metric for us externally to measure the business?
Roei Golan: Might be, might be. We'll see. I mean it's something that we are considering every time, but it might be in the future.
Kip Meintzer: All right. Next up is Jonathan Ho followed by Gabriela Borges.
Jonathan Ho: Congratulations on the strong results. Can you maybe give us a sense of what you're seeing from the impact of the federal government shutdown? And can you talk a little bit about the investments that you've made on the federal side, maybe where those opportunities lie?
Nadav Zafrir: Yes. I would say that because our current business is relatively small, we're not seeing a strong impact. Are -- having said that, our investment in Fed ramping our products is something that we're going to continue to do for a couple of reasons. The obvious one is that it's a big market. The second one is that this is what we're passionate about doing, securing the most under threat environment, the most complex environments. And I think we really have an advantage there to really bring better security. So we're going to continue investing in that. And investing in that means in our product, but also Fed ramping and focusing the -- our selling focus on that because I think there's a big potential there.
Kip Meintzer: All right. Next up is Gabriela Borges, followed by Fatima Boolani.
Gabriela Borges: Nadav and Roei, I wanted to follow up on how you think about the impact of hardware refresh on your business? More specifically, I know that 2024 was a big year for Quantum refresh. I know that 2025 was also a good year for Quantum refresh. Obviously, it's not binary, but when you look at 2026 in the cohort that's up for [ UL ] in 2026, is there anything that we should keep in mind on the size or how, being in year 3 of the quantum refresh, impacts that cohort?
Roei Golan: So definitely, the [ refresh ] cycle is a big part of our business. But I have to say that, again, when you are looking today on the opportunities, I think we are in the middle of the refresh cycle. And I'm looking on the final for Q4. And I'm looking on the final for 2026, there's a lot of opportunity just for refresh of our existing installed base. And I'm not talking even about the competitive replacement that we see more of them in the last few quarters. So that's definitely -- have a factor on our total business. And definitely, we see more cross-sell -- cross-selling of our other products in our portfolio. As we said, a lot of the business is coming from ERM, external risk management. Or from SASE, it's coming from actually opportunities that will be part of the refresh that we did for a customer. That's part of the refresh project. We also took -- they also acquired their purchase, sorry, purchase one of -- a few of our products. So that's definitely a big factor. And again, as of today, based on what we see today, the potential is definitely also there for the next 12 months.
Kip Meintzer: All right. Next up is for Fatima Boolani, followed by Peter Levine.
Fatima Boolani: Nadav, I wanted to ask you a question about product strategy. You have absolutely not been shy about thinking about the portfolio in a holistic manner, both from an M&A standpoint, but also from the standpoint of, hey, these products or these capabilities aren't necessarily our forte. We're going to take a partnership route. So I'm referring to your partnership with Wiz on the CNAPP front. So first and foremost, are there opportunities in the current portfolio as it stands, where there is scope for rationalization, where you can take your wins, where we're very strong and maybe exit certain product areas? So that's the first question. And then the second question is just with respect to Lakera and the vision around building a full stack AI solution kit for your customers. How much of a budgetary attribution and allocation are you actively seeing from CISOs and CIOs who, I can't imagine aren't getting absolutely inundated with the next new mousetrap in technology. So just helping customers be ready to purchase when the technology around AI security is changing probably the most rapidly than we've ever seen in our lifetime. So a very big picture, but I wanted to get your opinion on it.
Nadav Zafrir: No. Thank you, Fatima. So on the first one, yes, we do want to focus and become a podium player where we play. So a couple of examples. You brought up the Wiz example, but we also announced that we're going to be partnering with Illumio in micro segmentation because I think that's an important piece of becoming secure in a hybrid mesh environment, especially as the agents are coming our way and starting to cross these lanes. So segmentation becomes very, very important. So we're doing that with them. We're partnering with others on OT and IoT, and we're partnering on identity. So yes, there's a lot more where that comes from. Some of it is just being able to go through the normal APIs, but just be very mindful about that so that we can actually do it. Some of it is actual integration, and some of it is going to market together, like what we've done with Wiz. With regards to the full stack, I think this is just really the beginning, right? This is not a huge market yet because, as I said, it's about these phases. And most organizations are in Phase 1. In Phase 1, we have -- our product, for example, we call it GenAI Protect. So GenAI Protect could come in as a stand-alone, but could also be a part of our browser, a part of our SASE solution. And I think you'll see a lot of that. As we move to Phase 2 and 3, we will need stand-alone products like what we're going to -- what we're bringing with Lakera, which is already deployed in some of the largest organizations of the world. But those are the earlier -- I wouldn't even say the early. These are the innovators that are starting to do this. I think we'll see more and more. I don't think we'll see this blow up in 2026. We'll see substantial growth, and I think we'll see much more in 2027.
Kip Meintzer: All right. Next up is Peter Levine for our last question of the day.
Peter Levine: Great. Maybe to piggyback off that last point, Nadav or Roei, you talked about those different levels. And maybe just as a pricing question is, how do you view the current subscription licensing model, right? Is there a room to kind of evolve towards a more usage-based flexible kind of consumption model, right? You've seen many of your peers kind of move towards this usage-based model. As you talk about AI, SASE, cloud security, what are your thoughts here as you think about pricing and to get customers to maybe expand and adopt more of your products over time?
Nadav Zafrir: Yes. I think as we -- and Roei, you can chime in as well. I think as you see our portfolio, its breadth is expanding, but also its nature, right? So when you think about SASE models of consumption, I think that is becoming more relevant. The first thing that we must do is not only sell our products, but make sure that our clients and our customers are using it and are satisfied with it. We still haven't moved to a consumption base. But I'll be honest, it is something that we're speaking about in the corridors, specifically, for example, for areas like war space.
Kip Meintzer: All right. That's it for today, folks. Thank you for joining us. And with that, we'll see you next quarter.
Nadav Zafrir: Thanks, everyone, for joining.
Kip Meintzer: Bye now.